Operator: Good day, ladies and gentlemen, and welcome to the Encore Capital Group's Q3 2017 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, VP of Investor Relations, Bruce Thomas. Mr, Thomas, you may begin.
Bruce Thomas: Thank you, operator. Good afternoon, and welcome to Encore Capital Group's third quarter 2017 earnings call. With me on the call today are Ashish Masih, our President and Chief Executive Officer; and Jonathan Clark, Executive Vice President and Chief Financial Officer. Ashish and Jon will make prepared remarks today, and then we'll be happy to take your questions. Paul Grinberg, President of Encore's International Business is also here and will available for the question-and-answer session as well. Before we begin, we have a few items to note. Unless otherwise specified, all comparisons made on this conference call will be between the third quarter of 2017 and the third quarter of 2016. Today's discussion will include forward-looking statements subject to risks and uncertainties. Actual results could differ materially from these forward-looking statements. Please refer to our SEC filings for a detailed discussion of potential risks and uncertainties. During this call, we will use rounding and abbreviations for the sake of brevity. We will also be discussing non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are included in our earnings presentation which was filed on Form 8-K earlier today. As a reminder, this conference call will also be made available for replay on the Investors section of our website, where we will also post our prepared remarks following the conclusion of this call. With that, let me turn the call over to Ashish Masih, our President and Chief Executive Officer.
Ashish Masih: Good afternoon, and welcome to our third quarter earnings call. I'm pleased to report that Encore has delivered solid financial and operational performance this quarter. Overall, U.S. investment returns continue to improve as a result of the favorable domestic purchasing environment coupled with our long-term progress on liquidation improvement initiatives. In Europe, deployments were very strong in the third quarter and our international business continues to deliver solid results due to sustained improved collections. Cabot continues to execute on its liquidation improvement plans resulting in strong collections performance. Let's now turn to a review of Encore's domestic business. In the third quarter, we continued to see favorable purchasing dynamics in the U.S. market. Banks are building their loan loss provisions and net charge-off rates continue to increase with some large credit card issuers reporting an acceleration in charge-off rates when compared to prior periods. As a result, we expect a meaningful growth in supply through next year and beyond. Overall pricing remained favorable in the U.S. as our commitment to our disciplined pricing strategy remained firm. Although our domestic deployments for charged-off credit card portfolios in Q3 were lower than a year ago, we continue to book new business at better returns than those of last year, enabling us to generate more ERC for each dollar we deploy. The money multiple for our consumer credit card portfolio purchases year-to-date through the end of Q3 was 2.0, which compares favorably to the 1.8 multiple from a year ago. Through our prudent capital management, our focus on improving liquidations and our solid relationships with issuers, we are positioning ourselves through capacity expansion for a period of strong deployments with attractive returns. As a result of successful portfolio purchases and forward flow arrangements, by the end of the third quarter, commitments for 2018 already totaled more than $280 million. Unfortunately, a number of Encore's consumers and employees were impacted by hurricanes hitting the U.S. and Puerto Rico. These weather systems have had a profound impact on the communities in their paths. In the wake of these storms, our first order of business was to establish contact with each of our employees who work in the affected areas. The hardest hit was our Puerto Rico office. After a number of anxious days, we were grateful to confirm that all of our people there were safe. Although our offices in each of the affected areas are back up and running, as you would expect, we temporarily suspended collections activity in impacted locations while recovery is underway, consistent with Encore's hardship policies. Our pool groups typically consist of accounts from a broad geographical footprint, which generally dilutes the effects of any regional impacts - such as these hurricanes - on any particular pool group. However, we have two pool groups, included in the 2012 and 2014 vintages, which are heavily concentrated in Puerto Rico. For these two pool groups, we recorded an allowance charge of approximately $10 million in the third quarter, as it will take time to re-establish normal operations and commerce on the island, while the community there works hard to recover its footing. After the allowance, the Puerto Rico-based accounts in these two pool groups have a remaining book value of approximately $12 million. We do not anticipate incurring any allowance charges resulting from this quarter's hurricanes on our other pool groups. Let's now turn our focus to our International business. Cabot deployed over $165 million in Q3. Cabot's operational, technological and analytical initiatives continue to drive better collections performance over a large number of pool groups. Combined with the benefits from a number of cost efficiency programs, the improvements from these initiatives enable us to deploy capital in Europe's competitive market at strong risk-adjusted returns. We expect Cabot's strong collections performance, such as that delivered in Q3, to continue in the future. As a result, we reversed an additional $28 million of the allowance charge from a year ago. We have previously mentioned that J.C. Flowers and Encore began a process that is expected to result in an initial public offering of Cabot shares. Cabot recently announced its intention to launch a public offering and apply for admission to the London Stock Exchange. As we have stated in the past, our ability to provide updates about any IPO or similar activity at Cabot is limited by securities laws. Our consolidated debt to equity ratio at September 30th was 5.1. Considering this ratio without Cabot, our debt to equity ratio was 2.3, which reflects a substantial difference when compared to the consolidated ratio. It is important to remember that we fully consolidate Cabot's debt on our balance sheet because of our significant economic interest in Cabot and our control of their board. However, Cabot's debt has no recourse to Encore. It is clear from this illustration that Encore is far less levered than our financials would indicate. As stated last quarter, upon consummation of a Cabot IPO, we intend to deconsolidate Cabot, significantly changing our financial statements. Deconsolidation would result in the removal of assets and liabilities attributable to Cabot from our balance sheet, and our investment in Cabot would be accounted for under equity method accounting. We believe this will make it much easier for investors to understand Encore's true financial condition. Before I pass it over to Jon, I would like to take this opportunity to publicly thank our outgoing Chairman, Will Mesdag, for his many years of service. Will's vision has been an inspiration to Encore's strategy over the years, and we all benefited in countless ways from his counsel. I am pleased that the Board has chosen Mike Monaco to become our new Chairman. Mike has been the chair of our Audit Committee for the past few years, and we look forward to his guidance and leadership. I'd now like to turn the call over to Jon for a more detailed look at our Q3 financial results
Jonathan Clark: Thank you, Ashish. Before I go into our financial results in detail, I would like to remind you, as required by US GAAP, we are showing 100 percent of the results for Cabot, Refinancia and Baycorp in our financial statements. Where indicated, we will adjust the numbers to account for non-controlling interests. Turning to Encore's results in the third quarter, Encore earned GAAP net income from continuing operations of $28 million, or $1.05 per share. Adjusted income was $31 million or $1.17 per share. Cash collections in the quarter were $443 million and our ERC at September 30 was $6.6 billion, a new all-time high for our business. Comparisons to prior period financial performance take on a different tone beginning this quarter as we are now a year removed from the U.K.'s vote in favor of Brexit, which occurred at the end of June last year. This activity caused the British pound to substantially decline in value versus the U.S. dollar, which made year-over-year comparisons for our European business more difficult over the past several quarters. Deployments totaled $292 million in the third quarter, up 42% compared to the $206 million of purchases we made in the same quarter a year ago. In the United States, the majority of our deployment of $111 million represented fresh charged-off credit card portfolios. This compares to our core domestic deployment of $132 million a year ago, which represented a particularly strong quarter. European deployments totaled $177 million. This compares favourably to a year ago when we deployed $43 million in Europe. Our liquidation improvement programs have allowed us to more than offset the competitive market dynamics in certain European markets to earn better returns than a year ago. During the third quarter we also deployed $4 million in other geographies including Australia and Latin America, compared to $22 million of purchases a year ago. Worldwide collections grew 9% to $443 million in the third quarter, compared to $407 million a year ago. Encore's Q3 collections in our U.S. call centers also grew 9% when compared to last year, as we continue to benefit from increased purchasing volume and the acquisition in recent periods of portfolios with higher returns. Also keep in mind, given the continued growth in the U.S. market, we are investing to increase the capacity of our call centers and legal collections network. Worldwide revenue in the third quarter was $307 million compared to $179 million a year ago, a period in which our revenues were impacted by our European allowance charge. Domestic revenues were down 7% compared to the same quarter last year, primarily as a result of the $10 million allowance charge associated with our Puerto Rican pool groups. Q3 revenue in Europe was $128 million and benefited from the $28 million allowance reversal resulting from the increases in collections driven by our liquidation improvement initiatives. In the third quarter, we increased domestic yields primarily in pool groups in the 2012 through 2015 vintages as a result of sustained over-performance. In Europe, we increased yields on certain pool groups in the 2014 through 2016 vintages, also as a result of sustained over-performance. Encore generated $34 million of zero-basis revenue in Q3 compared to $38 million in the same period a year ago. Our ERC at September 30 was $6.6 billion, up $836 million, representing an increase of 15% compared to the end of the third quarter of 2016. In the third quarter, our higher purchase-price-multiple results in more ERC per dollar deployed than a year ago. In the third quarter, we recorded GAAP earnings from continuing operations of $1.05 per share. In reconciling our GAAP earnings to our adjusted earnings, adjustments totaled $0.16 per share. After applying the income tax effect of the adjustments and accounting for non-controlling interest, we end up with $1.15 per fully diluted share, and after deducting approximately 500,000 shares in Q3 related to our convertible debt, our non-GAAP Economic EPS was $1.17. There were a number of items which impacted our earnings in Q3 which bear mentioning. I'd like to talk about these in the context of our Economic EPS. First, as Ashish indicated, we recorded an allowance charge of $10.2 million in Q3, or $0.24, due to the impact of Hurricane Maria on Puerto Rico. With regard to Cabot, the previously mentioned $28.0 million allowance reversal, or $0.38, was driven by sustained collections overperformance. In September, Cabot redeemed Marlin's original senior secured notes and generated a gain of $5.7 million in the third quarter, which represented approximately $0.08 of earnings contribution. With that, I'd like to turn it back over to Ashish.
Ashish Masih: Thanks, Jon. As I reflect on our performance in the third quarter, I'm excited about the path ahead. Purchasing trends continue to favor debt buyers in the U.S., our largest market. We remain well-positioned to benefit from these market conditions and are working diligently to maximize our returns. To summarize, we delivered a solid quarter of financial and operational performance. First, market supply in the U.S. continues to grow and is showing signs of long-term supply expansion. Second, our improving liquidation rates together with continued favorable market conditions are enabling us to purchase charged-off credit card receivables with money multiples at 2.0. Third, Cabot had a very strong purchasing quarter in Europe and its liquidation improvement initiatives are producing sustained improved collections, and finally, on October 20th Cabot announced their intention to float shares on the London Stock Exchange Now we'd be happy to answer any questions that you may have. Operator, please open up the lines for questions.
Operator: [Operator Instructions] And our first question comes from Mark Hughes with SunTrust. Your line is now open.
Mark Hughes: Thank you very much. Your point about the longer term supply, you feel like there's more visibility. Could you expand on that?
Ashish Masih: What we've seen Mark is, we are hearing - listening to the earnings announcements from the large credit card issuers and supply depends on two factors, right. One is the total overall lending and the second factor is the loss rates measured through charge offs or delinquency rates whatever metric one may choose. And in terms of what we are seeing in the issuers report, lending is growing. In each of the issuers cases the outstandings grew from a year ago in terms of the major issuers that recently reported. And the net charge-off rates are also growing and some of them are forecasting them to grow over the next year or so. If you combine the two, as well as the overall lending and the revolving debt industry market has crossed a trillion dollars in summer as I've mentioned before. You combine the two factors, the trends, as well as the most recent credit card issuer announcements and public release information we are seeing signs of continued improvement in supply, as well as indications that it will continue for a foreseeable future.
Mark Hughes: How do you see the banks behaviour in terms of their willingness to sell the timing in which they sell any change?
Ashish Masih: I'm not seeing any change in behaviour. Again, quarter-to-quarter issuers may take different actions. In general most issuers also work some paper [ph] internally or through their outsource suppliers and they also sell and they kind of change those mix over time. We maintain long-term relationships with the major issuers and believe over time we agree on certain pricing that works for them on floor agreements for example and that also generates good returns for us, but makes sense for the bank. So we are not seeing any material change from the issuers, they continue to sell in the market that we've seen in the past from the same major sellers.
Mark Hughes: The impact on collective productivity or retention of employees, are you seeing any more turnover than you might have in the past?
Ashish Masih: We have not seen any change in that. Our call centers are located many sites in the U.S., one in Costa Rica and one in India and they all are stable in terms of the trends we see. We are growing capacity that we have said before. We have grown capacity with a year and we continue to grow capacity every month. And it's - in terms of attrition rates, productivity and how well they perform, it takes a while for them - for the new hires to perform. But there is no change that we've seen and our operations teams are very focused on it, recruiting teams are focused on it and we see very good progress. And I feel very optimistic and positive about how we are growing capacity, how it's performing as the supply will increase in the future.
Mark Hughes: Thank you very much.
Operator: [Operator Instructions] Our next question comes from Leslie Vandegrift with Raymond James. Your line is now open.
Leslie Vandegrift: Hi. Thank you and good afternoon. Just a quick question to add on to the revenue yield, on - you're talking about you know stabilizing improving yield, looking to maybe improving supply over the next year. Do you feel like - systematic little bit of the drops that occurred earlier in the year and last year are done for the revenue yield or we kind of at a near-term stabilization to improvement now or could there be some choppiness in the next few quarters?
Ashish Masih: Leslie, what drop are you referring to specifically, I am not sure…
Leslie Vandegrift: On the revenue yield, just last year we're - at the end of last year was down slightly at the end of the year or we done with any choppiness and back onto the improvement?
Jonathan Clark: I'm not sure, we're looking at each other. We're trying to figure out what we - we apologize…
Leslie Vandegrift: Okay…
Jonathan Clark: For the nature of the question. I think what Ashish was trying to say is that the market is a very strong market and is providing opportunities to make investments at attractive returns and we see that market growing in the future.
Leslie Vandegrift: Okay. All right. So I must have that number in their own for as a month. And then on the Cabot issue then you know, you talked about leverage there, normally without 2A [ph] and then all in expires a little over 5 times. If Cabot IPOs and I know, you can't talk about the details on that part of it, but once it's all your book, are you guys comfortable at an all in leverage on your own closer to 5 or do you think you'll stay around the 3 range?
Jonathan Clark: I won't speculate in terms of our leverage and where we're comfortable or not, but I will share what I've shared with people in the past, that there will be time that we will move our leverage up and there will be times that will move our leverage down and that will be driven by how attractive the market is. I think you'll see post-peak consolidation. My expectation is that you'll see some very attractive leverage ratios and we don't have any near-term plans to move those.
Leslie Vandegrift: Okay. All right. Thank you. Appreciate it.
Operator: [Operator Instructions] And we do have a follow up question with Mark Hughes with SunTrust. Your line is now open.
Mark Hughes: I'm sorry if I missed comments earlier, but your cost to collect, I think you said on an adjusted basis up 2% year-over-year. Is that sort of leverage is - was this unusually good quarter or would you expect kind of modest growth in expenses go forward?
Ashish Masih: Cost to collect, Mark is a reflection of several actions and kind of quarter-to-quarter things can change. For example how we placed accounts in different channels. As you can imagine, call center cost to collect is very different from legal. There are - a year ago there were still some delays from the CFPBs consent order driven kind of litigation delays and some of them - clearly all of them went away, but then certain weather related delays can happen and course and whatnot. So I would say the cost to collect in aggregate can fluctuate quite a bit at least for the U.S. number. And then there's a weighted average number that you're looking at for the company. So there's no one big driver that I can see a change there or predict what may happen, so.
Mark Hughes: Would you say this is a model where you should get operating leverage?
Jonathan Clark: Yeah, I think there we are - if your question is, is there - as our volumes increases, if this is going to be scaled to this and drive down our cost to collect, certainly longer term we expect we will be able to do that.
Ashish Masih: The only thing I would add to that is, as we deploy more and as the supply grows, which we think it will and we are able to deploy attractive returns, which we are very disciplined about. Then we'll be buying those accounts and particularly if any of them are more lower balance accounts, they all require for initial investment, particularly in the legal channel. But even in the call center capacity that takes a little bit of time to ramp up and train. So if we deploy a lot more we will probably have more front loading of expenses what we'd be doing in a very good long term investment returns.
Mark Hughes: Did you touch on potential valuation discussion with Cabot, where you think - is there any early indications either valuations or sort of multiples, market multiples that you think are most relevant?
Jonathan Clark: The long answer is no.
Mark Hughes: Understood. Thank you very much.
Operator: Thank you. [Operator Instructions] And our next question comes from Bose George with KBW. Your line is now open.
Bose George: Hey guys, good afternoon. You noted in the prepared remarks about the $280 million of commitments that you have already for 2018. I was curious that the comparable time last year now how did that pipeline look for 2017?
Ashish Masih: Bose, I don't have that number in front of me, but I remember last year we also had a very strong commitment pipeline for 2017 at that time. So I'm pretty confident it was less than this number. But we did have a strong pipeline as well.
Bose George: Okay, great. And actually in terms of Cabot, do you have the number for the earnings contribution from Cabot this quarter?
Jonathan Clark: In terms of our economic EPS $0.71. Now, I think I need to explain a bit more there Bose, just so we're all on the same page, that $0.71. If you go back to the prepared remarks there was the $28 million allowance reversal and a $5.7 million gain on Marlin bonds, so if you net that out Cabot economic EPS will be $0.25. And then if you take the inverse, which I'm sure you would do, and say Cabot made $0.71 and we made a buck 17 that by definition everything else made $0.46. But you have to then also add back in the $0.24 from the Puerto Rico allowance charge. And that brings you to $0.70 for the non-Cabot part of the world. Would that make sense to you?
Bose George: Yeah. That's helpful. Thank you. And then can you just talk about the IRRs in Europe, again you know compared to what you're seeing in the U.S. like how different are they?
Paul Grinberg: This is Paul. U.S. is very strong right now. And because of the supply that we're seeing, the increase in supply because of the relatively lack of competition. The European - U.K. and European markets are competitive. We are able to deploy capital with very strong risk adjusted returns because of all the operating initiatives we have around liquidation and efficiency. So while the U.S. returns are a bit stronger than they are in Europe, the returns we're getting for our deployment in Europe are very strong.
Bose George: Okay, thanks. Again, just one more for me. Any updates on the CFPB in terms of the final rule, anything you guys have heard?
Ashish Masih: No we haven't Bose. What they had indicated in August or so and some are that by September they would have the notice for proposed rulemaking. And September has come and gone. So those rules haven't come out yet. So we and others in the industry are still waiting for that to happen. So we expect at some point soon. They had a very clear September timeline that they did not meet.
Bose George: Okay, great. Thank you.
Operator: [Operator Instructions] And we have a follow up question from Mark Hughes with SunTrust. Your line is now open.
Mark Hughes: On Cabot, have you determined or are you able to share your thoughts about whether you or how much you might sell on the IPO for Cabot?
Ashish Masih: It's too early to say anything on that at this time, Mark, I'm sorry.
Mark Hughes: Right. I guess, I would assume that the - big advantage of the transaction is that you can de-consolidate, but then is generating some kind of cash proceeds. Is that a priority at this point or is the de-consolidation really the emphasis for now?
Ashish Masih: So what we said last time and this time is we intend to de-consolidate at IPO, beyond that as I just said I'm not able to share kind of what we may or may not do.
Mark Hughes: I understand. Thank you.
Operator: [Operator Instructions] I'm showing no further questions at this time. I would now like to turn the call back over to Ashish Masih for any further remarks.
Ashish Masih: This concludes our call for today. Thanks for taking the time to join us. We look forward to providing our fourth quarter 2017 results in February. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a wonderful day.